Operator: To begin, good day, and welcome to the Host Hotels & Resorts, Incorporated Second Quarter Earnings Conference Call. (Operator Instructions) At this time, for opening remarks and introductions, I would like to turn the call over it to the Executive Vice President, Mr. Greg Larson. Please go ahead, sir.
Gregory Larson: Well, thank you. Welcome to the Host Hotels & Resorts Second Quarter 2010 Earnings Call. Before we begin, I'd like to remind everyone that many of the comments made today are considered to be forward-looking statements under Federal Securities laws. These statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. Additionally, on today's call we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDA and comparable hotel results. You can find this information together with reconciliations to the most directly comparable GAAP information in today's earnings press release, in our 8-K filed with the SEC and on our website at hosthotels.com. This morning, Ed Walter, our President and Chief Executive Officer, will provide a brief overview of our second quarter results and then we'll describe the current operating environment as well as the company's outlook for the remainder of 2010. Larry Harvey, our Chief Financial Officer, will then provide greater detail on our second quarter results, including regional and market performance. Following the remarks, we will be available to respond to your questions. And now here is Ed.
W. Edward Walter: Thanks, Greg. Good morning, everyone. We are pleased to report that for the second straight quarter our operating results and trends were significantly better than we expected. The improving economy and resulting ramp up in demand generated sequential improvement in RevPAR throughout the quarter. This positive momentum has enabled us to increase our estimates for the second time this year, which I will discuss further in a moment. We've also been successful in placing some great hotels under contract, which will further enhance the quality of our portfolio. First, let's talk about our second quarter results. Our comparable hotel RevPAR for the second quarter increased 8.1% driven by an increase in occupancy of 6 percentage points and offset by a slight decrease in our average rate of $0.07. Our average rate was at $165 and our average occupancy was 73.8%. Strong group business helped drive an 8.6% increase in food and beverage revenues. Overall revenue growth is 6.2% combined with flat comparable hotel adjusted operating profit margins resulted in adjusted EBITDA of $250 million for the second quarter and FFO per diluted share of $0.23. On a year-to-date basis, comparable hotel RevPAR increased 3.5%, and food and beverage revenues grew 3.1%. Total year-to-date revenue growth of 1.7% combined with comparable hotel adjusted operating profit margins that declined 110 basis points, resulted in year-to-date adjusted EBITDA of 376 million and year-to-date FFO per diluted share of $0.31. I should note that RevPAR improved throughout the quarter, with period six achieving RevPAR growth of nearly aided by our first overall rate growth in over a year and a half. On a calendar-year-basis, our second quarter RevPAR was up nearly 10%. In general for the quarter the occupancy increase was better than we had expected and the average rate declined less than we anticipated resulting in a better than expected RevPAR and EBITDA. Turning to our business mix for the quarter, we continue to see positive demand trends which resulted in a substantial increase in overall room nights for the quarter of almost 9% compare to last year. More importantly, we are seeing demand recover specifically in our higher rated business segments for both group and transient. This is an extremely positive sign and suggests that hotels were becoming less reliant on discount as booking as demand continues to strengthen. Transient room nights increased 8%, led by an 11% increase in our Premium and Corporate segments and a 33% increase in the Special Corporate segment. The recovery and business travel that we experienced in the first quarter continued to gain momentum this quarter. In addition, the average rate in our Premium and Corporate businesses increased by more than 6% resulting in revenue growth of 8% in those segments. Conversely, we experienced a 1% decrease in discount room nights, which was the first decline in discount room nights, which was the first decline in this segment in 2007. This should be viewed as positive sign that hotels are more confident in their ability to attract higher rate of business travelers. Overall, the combination of higher rates and the positive shifts of business mix resulted in the transient average rate increase of almost 3% for the quarter, the first that's increased in two years leading to an increase in transient revenue of 11%. The recovery that begun in group businesses, the beginning of the year accelerated as total groups demand increased 10% for the second quarter lead by a 16% increase in corporate group. These trends were even more pronounced in our Luxury hotels, where group activity increased by 7% and corporate group was up by 34%. In the quarter for the quarter bookings in the discount segment grew approximately 33%, while higher rated association and corporate bookings grew 121% indicating that hotels are starting to rely less on the discount markets for short-term bookings and focus more on higher rate of business. The strong group demand combined with the gradual shifts and business mix held the average rate decline in the group to less than 5% and resulted in nearly a 5% increase in group revenues. Group booking activity in the third quarter is showing material improvement compared to 2009. At the beginning of the second quarter, booking pace for the third quarter was down about 2%. But by the end of the quarter, booking pace compared to the prior year had improved to an increase of roughly 8%, which reflect the continued short-term nature of our group booking and our limits of visibility. Our fourth quarter booking pace is also demonstrated sequential improvements albeit a more moderated phase. The positive results in the first half of the year combined with the strong third quarter booking pace should result in a meaningful improvement in group room nights for the full year compared to 2009. Transient bookings for the third and fourth quarter are also trending slightly ahead of last year, especially during the holiday period. Overall, improvement is still relying on the strength of the economy. But we are signs of improvement in business travels, which is a key component to driving the recovery and rising demands. On the investment front, we have several transactions to talk about. First, we signed an agreement to acquire the 270-room W New York Union Square in a joint venture with Union Square Real Holding Corporation through a pre-negotiated reorganization plan requiring U.S. Bankruptcy Court approval. Host will participate as a majority partner in the venture with the Eastern world to purchase the hotel. A subsidiary post will provide asset management services to the venture. The hotel is located on the Northeast corner of Union Square Park Avenue in 17th street adjacent to pre-eminent commercial and residential neighborhood near cultural attractions, fine dining and entertainment as well some of the best shopping in the city. The building was renovated, converted to a W Hotel and opened in November of 2000. While the hotel is heavily impacted by the downturn which lead to the recent bankruptcy filing, both New York and Lifestyle oriented properties are recovering quickly as is evidence by the year-to-date 34% RevPAR increased at our W New York Hotel on Lexington Avenue. We also recently signed an agreement to acquire the 424-room Westin Chicago River North for $165 million. The hotel is situated in a primary commercial center of the city and close to major tourist actions including the Magnificent Miles and Navy Pier in Millennium Park. The hotel is in excellent condition with large guest rooms and approximately 28,000 square feet of well-designed meeting space including an 8,400 square-foot ballroom. We expect to close this transaction in mid-August. Finally, we signed an agreement through our joint venture Asia to develop seven of core branded hotels at a total cost of $325 million in three major markets in India, Delhi, Bangalore and Chennai through a partnership with the Accor and InterGlobe, both of which have a proven track record of successfully developing and operating hotels in India. The portfolio consists of approximately 1,750 rooms, will have a strong upscale focus that will cater to India's growing corporate market. The timeline for opening these hotels ranges from early 2011 to early 2013. Our Asia joint venture expects to invest approximately $50 million in the transaction. We will continue to look for acquisition opportunities that meet our investment criteria and our guidance for the remainder of the year since that we will complete at least one additional deal, beyond what we've announce today given our very active pipeline. Additionally, we have not included any added dispositions in our guidance for the remainder of the year. Capital expenditures for the second quarter, total of approximately $50 million and $100 million year-to-date, including $33 million of return on investment projects. For the full year, our expected capital expenditure estimate is $300 to 320 million. Now, let me spend some time on our outlook for the remainder of the year. Our performance in the second quarter was significantly better than we anticipated and I previously referenced, our advance bookings for the third quarter are quite robust. As a result, despite the modest pullback in economic forecast for the remainder of the year, we believe that it is appropriate to further increase our forecast of our full year performance. We now expect RevPAR for the year to increased 4 to 5.5% with a comparable adjusted margin change of flat through a decline of 50 basis points. Based on these assumptions, full year adjusted EBITDA would be approximately $795 to 825 million and FFO per diluted share would be $0.56 cents to $0.70. In closing, we are up and have to think about the trends we are seeing in our business. Demand is continuing to strengthen and we are focus on our pricing strategy for continued improvement on the right side. On the investment process, we are excited about the transactions we announced today and we will continue to aggressively look for investment opportunity, both domestically and internationally. Thank you. And now let me turn this call over to Larry Harvey, our Chief Financial Officer, who will discuss our operating financial performance in more detail.
Larry Harvey: Thank you, Ed. Let me start by giving you some detail on comparable hotel RevPAR results. Looking at the portfolio based on property types, our urban hotels performed the best during the quarter, with a RevPAR increased 9.9%. RevPAR for our suburban hotels increased 9.4%, while RevPAR at our airport and resort conference hotels increased 5.4% and 2%, respectively. As expected, our top performing market for the quarter was Boston, with a RevPAR increase of 23.8%. Occupancy increase nearly 30 percentage points and ADR increased 3.7%. Transient ADR was up 6% as the market benefited from compression with an increase group and citywide demand and a mix shift from discount rooms to retail and special corporate business. Some of the improvements was due to easier comparisons as the Boston Marriot Copley Place and Sheraton in Boston were under renovation on the second quarter of 2009. For the third quarter, we expect the Boston market to perform in line with the portfolio. RevPAR for the New Orleans Marriot increased 22.4% with an occupancy increase of 7.9 percentage points and a 10.5% increase in ADR. Group demand increased significantly allowing for an increase in transient rates for the quarter of 12.5%. We expect the hotel to have an outstanding third quarter due to additional citywide and group business as well as the benefit from demand generated by the Gulf oil spill containment and cleanup efforts. New York also had a great quarter. With a RevPAR increased of 19.1% as occupancy grew by 9.4 percentage points and rate increase 7%. Robust transient business and strong group bookings drove the improvement and demand. Transient ADR increased 14.2% due to shift in the mix of business and rate increases. We expect New York City to have a strong third quarter due to high levels of business transient and leisure demand. The Miami Fort Lauderdale market outperformed our expectations, with a RevPAR increased of 14.3%. Occupancy was up 11.7 percentage points while rate declined 2.9%. The outperformance was driven by growth and transient and group business as well as the impact of the late 2009 ballroom addition at the Harbor Beach Marriot Resort & Spa. We expect the Miami Fort Lauderdale market to have weak third quarter due to impact of the public space renovation at the Miami [Inaudible] Marriot and lower levels of group business. Orange County, a market that was extremely hard hit by the housing market meltdown, had RevPAR growth of 13.3% in the quarter. Both transient and group demand was strong as occupancy increase 10 percentage points, while ADR was down 1.5%. We expect the Orange County market to slightly underperform the portfolio in the third quarter due to a slight decline in group to group business. Before I address individual market performance, I wanted to mention that half of our top 20 markets had positive RevPAR for the quarter. Our top-performing market was Philadelphia with a RevPAR increased of 12.3%. Strong Transient, Citywide and Group business contributed to and occupancy increase of nearly 9% and an ADR decline of 2.8%. For the second quarter, we expect the Philadelphia market to underperform the portfolio due to lower levels of both transient and group demand. The San Antonio market also performed very well, with a RevPAR increased of 7.3%. A strong citywide calendar drove an increased in compression days leading to an increased in occupancy of 5.4% and limiting the rate decline to only 0.8%. We expect San Antonio to have a decent second quarter and a strong second half of the year. RevPAR for our San Francisco hotels increased 12.1% due to better transient and group demand. Occupancy was up 10.2 percentage points, while ADR declined 2.9%. We expect our San Francisco hotels to slightly underperform in the third quarter due to less citywide and group demand. The Chicago market recovered from a tough first quarter to post a 9.2% RevPAR increase that was driven by a significant increase in group and transient demand. Occupancy increased 7.6 percentage points, while ADR declined 2.7%. The Swissotel, with its recent addition of 38,000 square feet of meeting space, substantially outperformed the market with a RevPAR increase of 20.6%. We expect Chicago to outperform the portfolio in the third quarter and for the Swissotel to continue to perform exceptionally well. RevPAR fell 2.7% for our Hawaiian hotels, as occupancy increase 7.6 percentage points due to strong transient demand while ADR fell 12.8 percent. Group demand was weak in the quarter. However, we expect the Maui market to outperform the portfolio in the third quarter due to continued improvements in airline capacity and stronger transient demand. RevPAR for our Phoenix hotel has declined 3.9% with a 6.3 percentage point increase in occupancy and a 12% drop in ADR, primarily due to significant discounting of group rates. Transient demand has remained relatively strong. We expect our Phoenix hotels to continue to struggle in the third quarter, particularly due to the renovation of a significant amount of the meeting space at two of our hotels and the construction of a new ballroom at the Western Kierland. As expected, the San Diego market continue to underperform due to a substantial decline in citywide and group demand and the absorption of the new Hilton that opened in 2009. RevPAR declined 12.8%, with an occupancy decline of 1.6 percentage points and a 10.8% decline in ADR. However, we expect our San Diego hotels to outperform the portfolio in the third quarter due to increased citywide activity. Year-to-date, Boston has been our top-performing market with a RevPAR increase of 18.5%; followed by New Orleans, with a RevPAR increase of 13%; New York with a RevPAR increase of 12.4%; and Miami Fort Lauderdale with a RevPAR increase of 11.9%. Our worst-performing markets have been San Diego, with a RevPAR decrease of 14.7%; and Hawaii, where RevPAR declined 7.7%. For our European joint venture, RevPAR calculated in constant Euros increased 5.6% for the quarter. Occupancy increased 8.1 percentage points and ADR declined 5.8%. The Crown Plaza Amsterdam, The Sheraton Skyline in London and the Westin Palace Madrid outperformed the rest of the portfolio while the Hotel Arts Barcelona was the poorest performer. On a year-to-date basis, RevPAR calculated in constant Euros increased 3.2%. For the quarter, adjusted operating profit margins for our comparable hotels were flat, consistent with the first quarter; margins for the second quarter were significantly impacted by the level of cancellation and the attrition fees in 2009. In the second quarter of 2009, cancellation and attrition fees were approximately $16 million higher than the second quarter of 2010, accounting for 100-basis point reduction in margins. In addition, profit [ph] level bonus expense increased significantly in the quarter resulting in a 25-basis point reduction in margins. Strong rooms flow through as a challenge when there is a substantial increase in occupancy and a decrease in rate. However, rooms flow-through was excellent for the quarter at 70.6% as rooms cost per occupied room was flat. Food and beverage flow through was also very strong at 50.7%. The shift in the mix of business to more catering and audio visual revenues and a reduction in beverage cost as a percentage of revenue led to the outperformance. Contributing to the strong flow-through, productivity improvements led to a reduction in wages and benefits on a per occupied room basis. However, due to the overall increase in occupancy, wages and benefits increased 3.5%. Unallocated cost increased by 6% for the quarter. This increase was primarily driven by expenses that are variable with revenues, including credit card commissions, reward programs and cluster and shared service allocations. In addition, as we mentioned in the first quarter call, the cost related to implementation of new sales and marketing initiatives would impact margins for the rest of the year and they did in the second quarter. Showroom [ph] cost only increased 0.6% reflecting the impact of energy-saving capital improvements. Property taxes declined 2.8% while property insurance increased 15.6%. Looking out to the full year, we expect comparable hotel adjusted operating profit margins to be flat at the high-end of the RevPAR range and decreased 50 basis points at the low end of the range. These amounts have been reduced by 65 basis points for the year-over-year difference in cancellation and attrition fees and 25 basis points for incremental property level bonus expense. During the quarter, we redeemed approximately 4 million shares of our 8 7/8s Class E series of preferred stock for approximately $100 million. We finished the quarter with nearly $1.2 billion of cash and cash equivalents and a full $600 million of capacity on our line of credit. After taking into consideration the acquisitions detailed in our press release, we would have approximately $925 million in cash and cash equivalents. This completes our prepared remarks, we are now interested in answering any questions you may have.
Operator: (Operator Instructions) And we'll take our first question from Felicia Hendrix from Barclays Capital.
Felicia Hendrix – Barclays Capital: Hi. Good morning, guys.
W. Edward Walter: Good morning.
Felicia Hendrix – Barclays Capital: Just on that most recent comments you made on flow-through, which I thought was actually interesting. Can you just remind us at the peak or when your business is kind of going at full force, what you're flow-through typically is?
W. Edward Walter: You mean it depends on obviously what's coming from in the rooms area, what's coming from rate or what's coming from occupancy, but I'd say that we'll probably end up somewhere in the plus or minus 80% range on the room side when we're starting to get to the point where the bulk of the improvement is coming from rate. We've had some quarters that are higher than that. Food and beverage tends to is really tied more to whether the source of business is outlets or the source of business is banquet. The 50% flow-through we had this quarter was quite good. We've had some quarters that have been a little bit better but typically I think we would probably assume it would be slightly lower than that more in the 40s.
Felicia Hendrix – Barclays Capital: Okay. That's helpful, thank you. And just on your announcement regarding the JV in India, I know it's such a small part of your overall business and it looks like a great opportunity. I'm just wondering the hotels that the JV are investing in seems to be a little bit lower than the chain scale than you guys typically look at. So, I'm just wondering, is that all part of the opportunity or is there anything to read into that?
W. Edward Walter: Well I think it is part of the opportunity but as we have examined the emerging markets, especially India and China, we have felt that there is a better opportunity to invest more in some of these middle-tiers although not all of these hotels fit into that description, but we kind of felt that mid-scale and upscale versus upper upscale and luxury probably present a better opportunity, in part because as you look at the opportunity for increase in demand in India and China it is as much driven by the increasing wealth of those populations and more people moving into the middle class, which should, based on history, suggest more people traveling. But that class, when they start a travel is probably not going to be staying in a luxury hotels, they're going to need something that's a little bit more affordable. And that's really true whether it's for leisure or whether it's for business. So, bottom line is as we look at both India and China, while we would be interested in opportunities that were higher price points, our sense is that these are sort of the right price point to be investing in those markets.
Felicia Hendrix – Barclays Capital: Okay. That makes sense, thank you. And then you guys made two announcements regarding acquisitions. I was just wondering at this point what the temperature of the transaction market is, obviously that's a hot topic for you guys.
W. Edward Walter: I would say that clearly, as you've looked across the spectrum, you have seen us than others announced acquisition certainly at a quicker pace than what we saw last year. So, by definition the market is a little bit stronger. I would still say that as we – this is – we're nowhere near a hot market yet. What you're seeing happen at this point is, I think consistent with the way some of us has predicted which is whether its distress in the form of the W deal, where you have a deal that is essentially blown up, gone into the bankruptcy and needs to be worked out or it's a situation that we really face in the opportunity on the West and where there wasn't a distress situation but simply there was debt coming due in the near-term and the ultimately the owner made a decision that it was probably better to sell rather than try to refinance that debt. We're starting to see that in pending debt bubbles start to create in some passions and transactions. And I suspect that as we go forward over the next six to 12 months, we'll continue to see that those two forces are the primary motivation behind the transactions that happen. That doesn't mean that there won't be transactions that just happened because somebody has made a decision that take advantage of whatever capital to have it in asset and unsell because they have a better place to the deploy the capital, but I think it's still – in the near term it's more likely to be the other type of deal.
Felicia Hendrix – Barclays Capital: Great. Final question, just wondering, are there any other encumbered properties that you have concerns about right now?
W. Edward Walter: Any encumbered properties that we have?
Felicia Hendrix – Barclays Capital: Yes.
W. Edward Walter: I think you know the bulk of our portfolio is unencumbered. It's actually one of the strengths of our balance sheet. The one property that we have dead on that we've disclosed is somewhat challenged is the Dessert Springs Marriott. That property is encumbered with – Larry, what is about 80 million?
Larry Harvey: $74 million.
W. Edward Walter: 74 million-dollar loan. It's currently not meeting debt service. We're covering the shortfall at this point, we continue to evaluate whether or not that decision makes sense going forward.
Felicia Hendrix – Barclays Capital: Okay. Thank you.
W. Edward Walter: Okay.
Operator: And will that be all, Ma'am?
Felicia Hendrix – Barclays Capital: Yes. I said thank you.
Operator: Okay, great. Mr. Andrew Whitman [ph] from Baird has our next question.
Andrew Whitman – Baird: Hi, guys. I guess I kind of want to dig in a little more than the transaction marquis. You said you're not modeling and you're guiding on any disposition since anything this quarter. Does that mean we shouldn't really expect anything? Are you still considering potential sales [inaudible]?
W. Edward Walter: The short answer to that is that it's unlikely that we will sell anything this year. That doesn't mean that some sort of an opportunity might not present itself that we would end up deciding to take advantage off. But our general stance right now is while in looking at the asset that we would like to sell. Our sense is that they would be better off marketing those in '11 and '12 as opposed to in 2010.
Andrew Whitman – Baird: Okay, makes sense. And then just again, I mean on the acquisition side, to kind of dig in a little bit deeper. Just can you talk about where you see more relative activity kind of around the world? Is it in your ventures? Is it here domestically? Where do you think you'll be more active at deploying capital? And then where is pricing in terms of maybe first-year cap rates or maybe kind of second-year cap rates given that we're still coming off depressed levels? What kind of prices are you seeing for assets that you're looking at?
W. Edward Walter: Let's start with where we think we're going to be active. I would bet that if you look – in general, we'll be investing more dollars over the next couple of years in the U.S. than we will be investing internationally, but I think you'll find that the balance between our international activity and our domestic activity will be more even than it's been in the past. We certainly are seeing some interesting opportunities in the Europe right now and are pursuing those. We also have some other things in the pipeline in Asia although nothing that we obviously were prepared to announce at this point in time, and we have a number of things that we're looking at in the United States too. So, will just have to – yes, some of it is just a function of how quickly the transactions go from the initial stages of activity to actually turning into a transaction. When it comes to the pricing question, it is really difficult to give a short answer to that question because the reality, is that if you look across the United States, for example, the market like New York, where you have had a very deep decline over the course of 2008 and 2009, but where one would likely anticipate a very strong recovery, hence it'll lead you towards lower cap rates. Other markets, Washington D.C., for example, which is a market that while it fell, fell, I think roughly half as that much as on the top line as New York, you would logically expect to see slightly higher cap rates because you're both working off of a better level of income to start and you're not necessarily expecting to see quite the same level of ramp up over the next couple of years as you'd like to see New York. I think you could see in certain markets, you could see some sub-bicap [ph] rates for this year and on the other it's probably for the more stabilized market you'd be a little bit above that. All of these, the cap rates are probably based on the series though that you're going to see relatively healthy growth in U.S. domestic markets looking out the next couple of years. If you look at Europe, you're probably looking at a situation that is somewhat analogous to Washington DC, maybe slightly lower cap rates there because of a historical level of cap rates that typically have been a little bit lower than the U.S. But the key European markets, London, Paris and some others, did not necessarily get as hit as hard as some of the prime markets in the United States. And so you'll see that reflected in the pricing. Asia cap rates are far more varied because you have a combination of both stabilized or mature markets combined with some of these other places where people are projecting very strong economic growth and the cap rates in some of the markets will, again, vary based upon the opportunity whether its development or existing. But in those markets that are less mature, you're typically going to see both a higher cap rate but more importantly, a higher projected overall level of return. I'd probably circle back on the whole point of cap rates for us, certainly the current cap rate is important, most certainly the relationship to replacement cost is important, but ultimately when we're looking at an acquisition, we're looking to achieve a premium to our cost of capital in our acquisition and that's calculated in the form of the 10-year unlevered IRR and so that becomes the basis for how we decide if an acquisition makes sense or not.
Andrew Whitman – Baird: Yes. That makes sense. Great. And I just want to ask one final question, maybe for Larry here and just as cash flows are improving here, one that just get a sense on your sense for the taxable income and perhaps give us some relationship, if you can at all, between what FFO could be and how that might relate to a special dividend in the fourth quarter. Can you give us any guidance as to what you expect or how to kind of handicap that?
Larry Harvey: For this year?
Andrew Whitman – Baird: For this year, yes.
Larry Harvey: Yes. At this point, we would be continuing with our $0.01 per share dividend. So, there – if it take an improvement over and above our forecast to get to that point.
Andrew Whitman – Baird: Okay.
Larry Harvey: Of anything over the penny.
Andrew Whitman – Baird: Okay.
W. Edward Walter: Yes, I think we addressed that and we probably talked about that in our last call, in that it we would need a meaningful improvement over the EBITDA level with the re-forecast that we're generating to be a taxable income. I think the one thing that you might have been remembering when you're asking that question is we have suggested that there is always a chance of a special dividend in the event that we were to be active in the sale market and that sale will generate taxable gains. Given that my response earlier and in my comments about the fact that we're not likely to be an aggressive seller in 2010, it is less likely that that would end up creating the need for special dividend.
Andrew Whitman – Baird: Yes. Okay, great. Thank you very much.
Operator: And our next question comes from Jeff Donnelly from Wells Fargo.
Jeffrey Donnelly – Wells Fargo Securities, LLC: Good morning, guys. And I guess the kick off on the acquisition in Chicago of the Westin, I'm sure if there's something that might be unique about that asset that drove the per peak consideration up just because looking at the comps over the last three to four years most of the full-service hotels in the downtown Chicago areas sold around 300,000 a key and I think even the one adjacent to it has hold right around that price. I was just curious what pushes this one up to 390.
W. Edward Walter: I guess the answer to that, Jeff, is a couple of things. The first off is that I have to admit it, I'm not totally familiar with some of the other deals that you have referenced in your notes this morning, but my sense at least on a few of them is that there were fairly material CapEx needs for those hotels, which was probably built into the – was built into the deal but not into the quoted price. In this instance, we have a very minimal capital program for this hotel based on our acquisition analysis, so we don't feel a need as we have in other acquisitions to where we're going to need to invest a lot into the hotel. So that might be one area of difference. Certainly this hotel from a standpoint of its performance and from the sizes of rooms, the overall quality in the box, I think stands in the relatively top number of hotels in this kind of class level within the Chicago market. I'd also note that one of the things that was attractive to us about this acquisition is the fact that this is a fairly advantageous management contract. It expires in 2020 or rather to say differently, the owner has the right to decide to extend it in 2020, not the operator, which as you know is a bit unusual and when you think about what that means in terms of back quality of asset in that type of a location, we at least have the flexibility around what slogs [ph] the hotel might slide, certainly doest land to a better cap rate on a sale in a pro forma that we might be using to analyze the asset.
Jeffrey Donnelly – Wells Fargo Securities, LLC: That's helpful. To switch gears, the increase in your guidance for full-year 2010 was certainly a little bit stronger than I was expecting. Maybe as the new ones difference but is the booking window lengthening or are you just becoming more confident that despite a shorter or relatively short period of visibility the business is just materializing?
W. Edward Walter: Probably a combination of both. I wouldn't want to – while I wouldn't necessarily say that the window is lengthening necessarily although there are some properties where you are starting to see some signs of that. I think what we were taking comfort in was the fact that we haven't seen consistent short-term booking pace strength and that's been happening now for two or three quarters in a row and while the out quarters are probably still tracking a little bit behind where they might have been in the prior year, the reality is that this gap between where they are and where they were is closing. And so we are seeing that as we look forward, I think we're getting more optimistic about the fact that we will continue to see as we get to the start of each quarter that we will be seeing more of the group room nights on the book than where we had been in the prior year. But I think the other part has kind of drives our sense of how the rest of the year will play out, relates back to some of the comments that I made relative to what we were seeing from corporate demand. Our corporate demand has really been growing both at the Special Corporate level and in terms of just regular business travel. As you well know, that the segment of our business, the latter one that pays the highest rate and so can, and the fact that we are actually able across the portfolio to see an increase in those rates we took it's quite a good sign. But we're also finding that our hotels are feeling less of a need to offer discounts in order to attract business. And I think that's key because that means you're really not sacrificing rate any more to attract business. You're really getting more comfortable that you're going to see that the business is going to materialize from your better paying customers. Kind of going back to the group side for a second, one interesting thing for most of our operators is that they are finding that the business that they're booking now is at higher rates than where they booked last year. So not only is the pace of the bookings up but the rates that they're booking at are also higher. So, when we put all of that together, while obviously there's some of the press around the economy has not been ideal and we do have some concern around some of the most recent measures of consumer confidence, we see that being somewhat offset by the outlook for business investment, which continues to improve and the net of it is we just felt better about the second half of the year and you see that in our revised guidance.
Jeffrey Donnelly – Wells Fargo Securities, LLC: That's really helpful. I think it explains why you're seeing the brands get more aggressive certainly as well. And that is bringing them back to – I think I like your opinion on this, in feeling or reinstating their brand standards. I guess in the first part, do you think that could result in you guys having maybe higher capital spend say in 2011 or 2012 because of that and maybe more importantly do you think you could also be a catalyst for acquisition for you guys to the extent that there are people out there who are maybe a little cash poor and can put through some of these reinstated brand standards?
W. Edward Walter: Given the money that we consistently invested in our portfolio over the course of the last really, four to five years now, I'm not concerned that re-institution of brand standards by the operators would lead to any more spending by us. But on your second question about whether at least to acquisition opportunities, I think that's a really interesting question. I don't know that brand standards per se is going to necessarily create an investment opportunity. But what I will say, what will create the investment opportunity is that hotels that were bought in six or seven and over levered, are now starting to get to the point where they may be facing in 2010 and '11 their third year were capital spending has been materially constrained because the property has not been generating the cash flow that that equates to both service to debt and service to property. And so while brand standards alone aren't going to create the problems, at the reality is that as you well know in the hotel industry you get to a tipping point with an asset where if you don't maintain it to a certain level, customers ultimately understand that feedback, feel that and stop showing up at that hotel. That ultimately starts the hotel on a spiral. So, as lenders begin to understand that the hotel is getting to that tipping point, they would logically be more aggressive about demanding action either in the form of the debt pay-down or investment in the hotel in some faction and I think in a lot of cases that could create opportunity. But it'll come more out of the overall physical condition and not just simply the re-institution of brand standards.
Donnelly – Wells Fargo Securities, LLC: Yes, that's exactly what I was thinking. Thanks, guys.
Operator: And we'll take our next question from Bill Crow from Raymond James.
William Crow – Raymond James & Associates: Guys, a couple of questions here. Could you talk about the quantity of bidders on the Westin River North asset?
W. Edward Walter: Bill, what I would say there is that it was a relatively small group that was not a widely marketed transaction.
William Crow – Raymond James & Associates: Okay. You said you anticipated perhaps one other acquisition this year, I believe that's what you said in the prepared remarks. Can you identify that asset, is it under contract yet?
W. Edward Walter: We do have a couple of assets that we've made material progress on and one that we've made a lot of progress on. And so I think we would feel relatively confident at this point that one of those two will happen, and one could happen in the relatively near term.
William Crow – Raymond James & Associates: Okay. I assume you don't want to provide any other details, you would have done so.
W. Edward Walter: You are assuming correctly.
William Crow – Raymond James & Associates: On the W Union Square, we had heard that CapEx requirements in that hotel might be $25 million, something like that, that maybe cash flow would be negative for the next couple of years? Any thoughts on what you're seeing for the next few years?
W. Edward Walter: We want to be careful about what we say about that deal because we're subject to confidentiality provisions. But I guess what I would say we certainly don't expect cash flow to be negative at the hotel and while we do have a capital program for that hotel, it is nowhere near a $25-million number.
William Crow – Raymond James & Associates: And two final questions, you talked about some of the economic data points that have been a little bit weaker. You're just not seeing any indication of corporate travel, transient travel has weakened over the past three or four weeks, is that fair?
W. Edward Walter: That is fair. That is correct. I think our performance over the last two or three or four weeks has been quite good. I would really view that with that performance, other than the anomaly that of course that everybody has identified about where the July 4 holiday fell?
William Crow – Raymond James & Associates: Yes.
W. Edward Walter: Caused a little bit of confusion for a period of time there I think about what was going on in the middle of July. We still see that the trends in July has still been quite good and the source of business has continued to – we've seen good strength out of the corporate travel. We haven't seen any change yet in that area nor have as we look at, at group bookings have we sense anything other than a normal pace relative to the time of year on what happened with group working from that segment.
William Crow – Raymond James & Associates: All right. And then finally, I thought it was interesting that you participated in development in your joint venture, should we expect you to be increasingly in the development financing business and would you bring that stateside as well or is that something strictly relegated for joint ventures in international markets?
W. Edward Walter: I would think in the near term, you're going to primarily see that type of activity in Asia as part of our joint ventures. It could happen – where development makes the most sense from our perspective is in markets where you have similarities to the discussion I gave around India and China, where you have that dynamic occurring where there's just tremendous lodging demand growth that would seem to support new developments. I've learned never to say never, so I'm certainly not going to sit here and say we would never do a new development transaction in the U.S, but if you step back and look at just the fundamentals of our business as you look at the degree to which EBITDA has fallen, if you look at where our construction pricing is and you kind of look at the discounts between where value is in the state to where replacement cost is. It's going to take a while before that equation falls and gets back into an off-balance to where we would see adequate returns to contemplate new development. So, again, I wouldn't say never but I wouldn't see that as a near-term priority in the U.S. for sure.
William Crow – Raymond James & Associates: Good enough. Thanks, guys.
Operator: And we'll take our next question from Joe Greff from JP Morgan.
Joseph Greff – JP Morgan Chase & Co: Good morning, everyone. Ed, if you went back to the second quarter and calendarized that we included the April, May and June complete months there, what would have been the RevPAR growth over a couple of period last year?
W. Edward Walter: Just a shade below 10%.
Joseph Greff – JP Morgan Chase & Co: Got you. And with respect to the incremental EBITDA guidance on a full year basis, how much of that increment comes from contributions from acquisitions?
W. Edward Walter: Joe, just because of the fact, the one thing that everybody should watch this year with acquisition is that obviously there's one thing you're trying to do is time the – you have to look at the timing of when the acquisitions occur in the year because obviously you're going to be buying in the middle or closing in the case of the W, where we're looking at the September closing, you're really going to get the fourth quarter in terms of ops. Not only do you have the partial year effective in you, but there are some new accounting requirements that Larry is far more qualified to explain than I am, that essentially require that we write off the acquisition cost associated with the deal at closing as opposed to capitalizing and amortizing them over the life of the deal. So that has the effect of reducing the initial year impact of acquisition. When you cut through all that, our sense right now of the transactions that we've announced today the contribution to EBITDA is probably plus or minus $5 million for this year.
Joseph Greff – JP Morgan Chase & Co: And I thought your comments in the group side of things was encouraging. Can you talk about current terms with respect to cancellation fees or attrition fees? How relaxed are they now versus what the market bore in 2006, in 2007. I guess we're trying to get a sense of how protected you are going forward from God-forbid attrition on the group side versus other period.
W. Edward Walter: I think you're seeing – that is an evolving story at this point in time. What you're generally seeing, and as I say this I think it will make sense to most people is that core business that is being booked in the relatively near term. From all practical perspective, you're seeing relatively minor cancellations and attrition fees. Some of that is the competitive landscape that we're operating in, some of it is reflecting that's not a point that it's worth the hotel negotiating a lot over because at this point, if you're negotiating for a group of that in the next 90 days, odds are pretty good you're going to have it anyway. So at the end of the day, if you had a choice between negotiating for a little bit higher food and beverage offering versus getting a cancellation fee, you're going to go for the money, not for the sort of safety. As you start to work your way longer term and look at business as being booked for '11 and '12, the situation begins to shift a little bit more. I would say that our sense that we're still not back to where we were to '05, '06 and '07, where we were getting fairly significant cancellation fees, but we're certainly negotiating for something in this timeframe. And that will depend a lot, it's a market by market phenomenon and it also depends a little bit on what time of year you're looking at it, to whether the business is in a period where we are highly confident we can replace it or a period of time where it's more aggressive where there's more demand versus a period whether there isn't a lot of demand and we really want a piece of business in that pie.
Joseph Greff – JP Morgan Chase & Co: Great, thank you.
Operator: And our next question will come from Josh Attie with Citigroup.
Joshua Attie – Citigroup Inc: It's Josh Attie and Michael Billerman. Can you talk about RevPAR growth during period seven which I think is the first couple of weeks of your third quarter? It seems that if the calendar was up 10% and business accelerated sequentially then June should have been up over 10%. And just wondering how much of that continued into the third quarter just to get a sense for what the current pricing and occupancy trends are.
Larry Harvey: Joshua, our period 7, which it combines June for the monthly hotel and kind of a split of June and July for our Marriott Hotel, came in between 9% and 10%.
Joshua Attie – Citigroup Inc: And what was the split between occupancy and rate?
W. Edward Walter: I think off the top of my head, I don't remember. I suspect though that there was certainly some rate growth that was part of that; I just don't remember the number. We haven't actually gotten reported numbers yet for that because the period, the MI portion of that just finished on Friday so we haven't really actually gotten any reporting on that. 
Michael Billerman – Citigroup Inc: Ed, it's Michael Billerman speaking, quick question. We had an industrial company report result this morning and they talked about how the economic turbulence, which clearly increased during the second quarter, has started to leave their customers more cautious about making forward leasing decisions taking less space, delaying decisions. At least sounds from your comments, at least on the group side, that's really not having yet of an impact of any corporate pulling back. But I'm curious as you start approaching the fall on your corporate rate negotiation, how you think that would trend and whether there is any concern in terms of corporate and businesses in terms of the amount of space that they're taking and the rate that they're willing to pay.
W. Edward Walter: Clearly, having gone through the last two or three years you should – there is a level of concern that if the economy continues to swell, you have to be alert to the repercussions that, that might have in your business. As I said before so far, while we've all read different economics statistics that has showed up in the press, we haven't necessarily seen an impact on that. But, conversely, was also beside about the fact that primarily a lot of our near-term demand is really for fairly short term, so it's certainly a trend that we're watching. As we think about the year though, and we watch the trends that we're seeing and as I get feedback from the operators who are of course one step closer to this negotiation process certainly than we are, they're not sensing, at least so far, a desire on the part of companies to pull back. And I think they are sending a strong message and I've already talked about this a little bit last week that we're going to be expecting and start to look for meaningful rate increases in our Special Corporate negotiations for next year. I think we're also bit of sending the messages as we start to talk about group business that they should be assuming the group business will be booked at higher rates, not lower rates. My sense is that that message is being accepted. It doesn't mean it won't ultimately get negotiated but it is being accepted out there by the corporate customer that we're talking about. As we think about how to approach certainly the second in the last few months of this year and the beginning of 2011, we're going to continue to emphasize what we think is the strength in our properties, which is our positioning on the group side and are going to be looking and try to build a pretty solid group base and we're going to continue to try to do a fair amount of business on the Special Corporate side. We've been talking about so far this year, the fact that we were up somewhere in the 20s in the first quarter, we're up 33% this quarter, Special Corporate business. Well, I suspect that we will lose some of those accounts as we work our way into 2010 because we will be priced a little too richly for some of those corporate customers to come back. We're still going to be focusing on that as a key segment of our demand for next year at a higher rate, not a lower rate like it's been this year. And our efforts to just give ourselves a little bit of protection on the downside in case some of this weakness in the economy lasts longer than we would all like it to.
Michael Billerman – Citigroup Inc: Right. And part of it could be self-fulfilling also is corporate use, some of the macro weakness in their negotiations.
W. Edward Walter: That's agreed.
Joshua Attie – Citigroup Inc: Marriott said a number on their conference call that they think corporate rates could be up in the high single digits for 2011. Is that a level that you feel comfortable with?
W. Edward Walter: It's certainly a level that I'd like to see happen. I think in the context of the discussions that have been had so far, our sense has been that those rates and rates at those levels would be appropriate for those customers. I would also caution you though that we're just at the early stages of that. A lot of our hotels, in part, because they are liking where the trend is going right now, there's just some degree – what's you call it? That we're in a driver's seat but we are at the point where delay is better for us because as rates begin to recover and as mentioned transient rates were up this past quarter, rates overall were up in period six, as rates begin to recover that discussion becomes easier for us in terms of the fact that there should be a meaningful rate increase because we're getting it on other fronts and that's the best proof of it was them is that we're getting it from other customers.
Joshua Attie – Citigroup Inc: Okay. Thanks a lot.
Operator: We will take our next question from Chris Woronka from Deutsche Bank.
Chris Woronka – Deutsche Bank AG: Hey, good morning, guys.
W. Edward Walter: Good morning, Chris.
Chris Woronka – Deutsche Bank AG: Just like real quick question on that property bonus, my calculation based on your 25 BIPS impact, is that like a $9 million number on an annual basis? Is that about right?
W. Edward Walter: It's 11.
Chris Woronka – Deutsche Bank AG: Eleven – okay.
W. Edward Walter: $11 million.
Chris Woronka – Deutsche Bank AG: Maybe a little bit of color on where you are on 2011 on the group pace and just directionally, what's locked and loaded right now versus where you hope to be or expect to be at the end of the year?
W. Edward Walter: If you look at 2011 right now, it is still a little bit behind. Probably by plus or minus 4% but I would tell you that that is, a couple of percent better than where we were in the last quarter and I think it's even a couple of percent or more than where we were at the beginning of the year. So, we're seeing good trends there in as sense that while we were behind, we're shipping it away pretty quickly and the bookings that we saw on the last quarter for 2011 were picking up some momentum. The interesting thing on that side is that from a rate perspective, we're fairly flat right now, which is actually better than where we are at '10 and I would be expecting based on the feedback that we're getting about the ability to book business at higher rates than we did last year's cause we'll start to see that tide turn as we work our way through the second half of this year. So, based on what we've been seeing, I will be expecting that we will start off 2011 at least as good as 2010 and hopefully a little bit better.
Chris Woronka – Deutsche Bank AG: Okay, great and as part of that are – the groups still kind of hesitating to book or you guys or your operators kind of holding back because you don't want to over-group if the transient continues to strengthen?
W. Edward Walter: It's probably a mix and it depends on the individual property. I do think that you're still binding that everyone is kind of think through some of the comments, especially some of the more recent questions we just have. There is a level of uncertainty out there and to some degree, it's probably leading people to be cautious about bookings. But, again, remember that was the degree of occupancy decline as the industry suffered and recognize that for the last 15 to 18 months, we've trained people that you could afford to wait for the last minute to make a decision in order to get the room because the rooms have been there. Hopefully that's starting to change. Hopefully in a call or two we're talking about an extended booking cycle, which is suggesting that somebody has called out try to get a room and it wasn't available or try to get meeting space and it wasn't available, which starts to train people the other direction, which is basically forcing them to commit a little bit sooner. I suspect were in that involving state of going from where I was, you could assume you can get space and now, where you have to think a little bit more about it, you may have to make that extra phone call to find it and then hopefully another couple of quarters, where to point where you start to see that booking cycle lengthen and we're starting to sell rooms a little bit faster.
Chris Woronka – Deutsche Bank AG: Okay, great. Thanks, guys.
Operator: Ladies and gentlemen, that does conclude today's question and answer session. I would like to turn the call back over to Ed Walter for any closing remarks.
W. Edward Walter: Well, thank you for joining us on the call today. We appreciate the opportunity to discuss our results or acquisitions and our outlook with you. We look forward to providing you with more insights into what's proven to be an interesting year in our third quarter call on October. Have a great day and enjoy the rest of your summer. Thanks.
Operator: And once again, ladies and gentlemen, that does conclude today's conference. We appreciate your participation today.